Operator: Good morning and welcome to Wesdome Gold Mines first quarter financial results conference call. I will now hand it over to Heather Laxton to begin today.
Heather Laxton: Excellent. Thanks operator and good morning everyone. Thanks for joining us today. Before we begin, we would like to take this opportunity to remind everyone that during this call, we will discuss our business outlook and make forward-looking statements. These comments are based on our predictions and expectations as of today. Actual events or results could cause outcomes to differ materially due to a number of risks and uncertainties, including those mentioned in the detailed cautionary note contained in yesterday's press release and in the company's management discussion and analysis dated May 12, 2021. Both documents are available on our website and on SEDAR.
Lindsay Dunlop: Great. Thanks Heather and good morning everyone. Here with us today we have Duncan Middlemiss, President and CEO.
Duncan Middlemiss: Good morning.
Lindsay Dunlop: Scott Gilbert, Chief Financial Officer.
Scott Gilbert: Hello everybody.
Lindsay Dunlop: Marc-Andre Pelletier, Chief Operating Officer.
Marc-Andre Pelletier: Hello. This is Marc-Andre.
Lindsay Dunlop: Mike Michaud, Vice President, Exploration.
Mike Michaud: Good morning.
Lindsay Dunlop: And Raj Gill, Vice President, Corporate Development.
Raj Gill: Good morning.
Lindsay Dunlop: We will begin today with an operational review from Marc-Andre, followed by a financial review from Scott. Then an exploration update from Mike. And finally, Duncan will conclude with a summary and outlook. Marc, please go ahead.
Marc-Andre Pelletier: Thanks Lindsay. We started to see the benefit of the ventilation upgrades at Eagle in Q1 as we commission the second pressure fan on surface allowing us to add another haulage truck at the bottom of the mine. Mill throughput began to increase and we are on track by average 650 tons per day this year as we ended the quarter with a surface stockpile of 4,300 tons. Head grade of 12.8 grams per ton or slightly lower than budget, particularly at the beginning of the year due to stope sequencing and lower grade ore in the underground surface. Grades steadily increased during the quarter and will continue through the year as we are preparing a new stope on the high grade 203 zone. We are also getting very close with the development in ore at the Falcon Zone, a significant milestone because that will open an additional workplace diversifying stope production from the bottom of the mine. This will allow us to reach our medium term objectives of filling the mill to capacity exclusively with the high-grade Eagle underground ore.
Scott Gilbert: Thanks Mark. We sold 20,664 ounces of gold at an average realized price of CAD2,223 per ounce to generate CAD46 million of revenue from the Eagle River complex. We generated CAD22 million in operating cash flow. We spent CAD20.4 million on capital which includes CAD12.6 million at Kiena and CAD2.2 million on growth capital at Eagle River. The cash balance remains at CAD64 million. The net income was CAD7.1 million or CAD0.05 per share. Earnings should be higher in the rest of the year due to planned increase in production. The cash cost was CAD1,076 per ounce and the AISC was CAD1,497 per ounce, which were higher than guidance due to lower gold production and higher costs for development, equipment fleet and surface infrastructure, some of which are one-time expenditures. We are tracking to achieve guidance. Now to Mike for a review of exploration.
Mike Michaud: Thanks Scott. Exploration drilling within the Eagle River mine continues to expand the known zones of gold mineralization, including the high-grade 300E zone that has now been extended to the 1,400 meter level. Also, definition drilling continues at the Falcon Zone and initial sill development is expected to commence in Q2, thereby providing an exciting opportunity for the first time to assess the gold mineralization in the volcanic rocks. Additionally, we are continuing to develop and explore the 311 West Zone along the western margin of the mine diorite. This zone has transitioned from the diorite into the adjacent mafic rocks, again highlighting the potential of the volcanic rocks to host gold mineralization. Brownfields exploration remains a priority for the next several years. Meanwhile, surface drilling is ongoing both East and West of the mine to follow up on anomalous values returned from regional drilling completed in 2020. And independent comprehensive analysis of the structural geology is being completed to aid this exploration. In total, in excess of 150,000 meters of drilling are planned for this year.
Raj Gill: Thanks Mike. We are on track to close Moss Lake transaction in Q2. Of the CAD57 million in headline value, we expect to receive at closing CAD12.5 million in cash and a 30% equity stake worth approximately CAD20 million pre-listing. Goldshore's initial marketing has been very well received and we are confident that Wesdome shareholder will benefit alongside Goldshore shareholders as the team aggressively explores the land package and updates the Moss Lake resource.
Duncan Middlemiss: Thanks Raj. In summary, it has been an active start to the year with many positive developments, mainly the exciting exploration and progress made towards the quick restart at Kiena. We completed the reconciliation of the A Zone bulk sample, which has produced 6% more gold at a feed grade of 15.7 gram per ton versus 14.7 gram which was predicted in the resource block model. We also made significant strides towards the completion of the PFS and are on track to release the results along with a restart decision later this quarter. This is a very exciting time in the company's future. And by the end of the year, we expect to have two high-grade underground gold mines producing in Canada, each on their way to producing over 100,000 ounce per year and on our way to realizing our goal of becoming Canada's next mid-tier gold producer. At Eagle, we continued to make operational and efficiency improvements to increase daily tonnage rates despite the challenges of operating in the pandemic. In the first quarter, the mine generated healthy operating cash flow, the majority of which was reinvested at Kiena. Free cash flow generation will improve in the coming quarters as grade increases at Eagle and as we get set to produce and sell initial ounces from Kiena based on a positive restart decision. With cash of CAD64 million, we are fully funded for all our exploration and development programs this year. We will also get the top-up of CAD12.5 million into the treasury when the Moss Lake transaction closes later this quarter. The company has performed very well despite the challenges of the global pandemic. I would like to thank all employees and stakeholders for their diligence and commitment to safety. At this time, I would also like to invite all shareholders about our upcoming annual general meeting held on June 1 at 10:00 AM Eastern Time. Due to the current stay-at-home order in Toronto, the meeting will be conducted virtually once again this year. Please pre-register using the link available on our website. We will now open the call up for the question-and-answer session. Operator, please go ahead.
Operator: . Your first question comes from the line of George Topping from Industrial Alliance. Your line is open.
George Topping: Great. Thank you. Duncan or Marc-Andre, I think for this one. On the Falcon, can you just update us on your expectations on the timeline to bring that into production? So when do you expect to put stope there and for the drilling and development ahead of that? When do expect to see some production from there?
Duncan Middlemiss: Yes. I will let Marc take that, George.
Marc-Andre Pelletier: Good morning George. This is Marc. So as you know, we have been very active this year at Kiena mine to get it prepared for a restart. We think that we can bring that mine into production within three months following the formal decision of the Kiena restart.
Duncan Middlemiss: I think George was talking about the Falcon Zone. Were you not, George?
George Topping: The Falcon Zone, yes.
Marc-Andre Pelletier: Falcon Zone, yes. I apologize for that. Okay. So actually, we in this quarter plan that we are going to be developing, George. So we are getting very close to that.
George Topping: Very good.
Marc-Andre Pelletier: And if I can add on, likewise we see for the remaining of the year as we see some production coming from the Falcon in the third quarter this year.
George Topping: All right. I figure it would be quite slow buildup few hundred tons.
Marc-Andre Pelletier: Yes. Actually less than 10,000 ton this year. The key thing for the Falcon Zone is the development. We have about 900 meter of development in the budget this year and we are basically setting up the production for 2022 from the Falcon Zone.
George Topping: Great. And the Kiena ramp-up is getting closer. I hope you will starting it Q4. Have you got better visibility on what you might be looking forward in 2022, 2023 in terms of the production there?
Marc-Andre Pelletier: Yes. Absolutely.
George Topping: Have you changed anything from this technical report?
Marc-Andre Pelletier: From the TA, George, I guess you are referring to? Yes, certainly there's some changes. I would have to say that they are overall positive in terms of the ramp-up. I don't want to get into particulars, of course, until we release this. But I think that we are quite satisfied with how Kiena is moving. And we did stress and I look at the discovery in the footwall that we have been able to generate and some other interesting targets down there. So really, we really have the view that our ounces per vertical meter are really likely to increase over that sort of baseload of the resource that we have. It was kind of set down at December 2020, right.
George Topping: Yes. And then just last question before I hand it over is, I mean everybody is talking about inflation. We know the steel and all of that. But I am more concerned about underground wages. Are you finding it difficult to get people to come and work at the cost, the wages that you used to pay?
Duncan Middlemiss: It is competitive, George. There is no doubt about it. Baldor is really one of the probably the hardest areas in Canada, probably North America, in terms of mining activity. What we are seeing right now is kind of an over demand for diamond drills and diamond drillers. That remains, I would say, probably the number one aspect of this right now. Definitely, we have been able to fill our damp ore needs so far from an underground mining in that prospective. Again, we are very fortunate to be no right in the center of the Abitibi there because there is a great sort of talent pool to draw from. But it is getting more competitive. This is no doubt about it. And it does sort of reminds me of 2005, 2006 and 2007 when we entered this phase, whether it's a supercycle but certainly is a broad demand for commodities in that.
George Topping: Got it. Good. Okay. Thanks everyone.
Duncan Middlemiss: Thanks George
Operator: You next question comes from the line of Andrew Mikitchook from BMO Capital Markets. Your line is open.
Andrew Mikitchook: I just had a question . The TA from last for Kiena had a relatively nominal CapEx. You guys are diligently giving us updates on how you are making progress through advancing Kiena. Can give us any guidance on how much of the CAD35 million you may have already spent or will have spent by the time you are in a position to start this? Just to have an official recent .
Duncan Middlemiss: Yes. Exactly. As you know, Andrew, officially our exploration, advance exploration activities continue through this period, we are not set up for, I would say, commercial production. But obviously, some of the things that we have been doing certainly does parallel well to us getting into commercial production rather quickly. So in terms of some of the things that we have been able to do, like really the focus this year so far is the tailings management facility, continued underground development, the ramp development, of course, being key of course as it is the majority of the A Zone is beneath us. So essentially, those are the activities. In terms of what we been able to accomplish through what you would have seen for the CAD35 million, I don't have a number for that right now but we are progressing along the lines of the advance expiration. But I think that we can quickly pivot to commercial production in the subsequent quarter almost. So we will be set up and obviously without having access to bulk sample area that really is sort of the basis for, I would say, early restart there in the A Zone. So we are in good shape.
Andrew Mikitchook: Good. It's safe to say, obviously there is no risk or indication on your part that December is going up. You have been, if anything, decreasing that number. Is that fair?
Duncan Middlemiss: As we have been spending, yes, I mean there is couple of likely scope changes, Andrew. But no, we are quite comfortable with where we stand on this right now.
Andrew Mikitchook: Thanks very much. Congratulations on the quarter.
Duncan Middlemiss: Thanks.
Operator: This concludes today's conference call. You may now disconnect.